Operator: Good morning, and welcome to the Ormat Technologies Third Quarter 2017 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Rob Fink of Hayden IR. Please go ahead.
Robert Fink: Thank you, Operator. Hosting the call today are, Isaac Angel, Chief Executive Officer; Doron Blachar, Chief Financial Officer; and Smadar Lavi, Vice President of Corporate Finance and Investor Relations. Before beginning, we would like to remind you that the information provided during this call may contain forward-looking statements relating to current expectations, estimates, forecast and projections about future events that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives and expectations for future operation and are based on management's current estimates, projections, future results or trends. Actual future results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risks and uncertainties, please see risk factors as described in Ormat Technology's Annual Report filed on 10-K with the SEC. In addition, during the call, we will present non-GAAP financial measures, such as EBITDA and adjusted EBITDA. Reconciliations to the most directly comparable GAAP measures and management's reasons for presenting such information is set forth in the press release that was issued last night, as well as in the slides that are posted on the website. Because these measures are not calculated in accordance with U.S. GAAP, they should not be considered in isolation from the financial statements prepared in accordance with GAAP. Before I turn the call over to management, I would like to remind everyone that a slide presentation accompanying this call may be accessed on the company's website at ormat.com under the Events and Presentations link that's found on the Investor Relations tab. With all that said, I would now like to turn the call over to Isaac Angel. Isaac, the call is yours.
Isaac Angel: Thank you very much, Rob, and good morning, everyone. Thank you for joining us today. Ormat remains on pace for a strong year as we continue to expand our portfolio, improve our operational efficiency, and position our business to deliver consistent profitable growth. In the third quarter, we delivered growth in both revenue and profitability for our electricity segment. This was as expected partially offset by product revenue fluctuations resulting in significantly lower revenues and margins year-over-year. However, for the full year we are on track with our revenue and margin expectations. Given our solid results for the first nine months of the year and our visibility into the fourth quarter, we remain confident in our full year outlook. We are reaffirming our financial guidance and narrowing ranges of possible outcomes which I will elaborate later in the call. We are also on course with our growth plans and towards the end of the third quarter our Platanares power plant in Honduras commenced operation. We are in the final stages of startup at Tungsten Mountain in Nevada and we expect it to come online before the end of 2017. We believe that both Platanares and Tungsten Mountain will contribute to 2017 results and undoubtedly will provide a meaningful contribution to 2018 results. I will turn the call over to Doron for a review of the financial results before I provide an update on our operations. Doron.
Doron Blachar: Thank you, Isaac and good morning everyone. Starting with revenues on Slide 6. For the third quarter of 2017, total revenues were $157.2 million compared to $184.6 million last year. This decrease was primarily attributable to a decrease in our product revenue of 40% which was partially offset by 2.3% increase in electricity segment revenue compared to the corresponding period in 2016. Moving to Slide 7, revenues in our electricity segment were $112.2 million in the third quarter of 2017 compared to $109.8 million in the same period last year. This increase was primarily attributable to an increase in generation at our Bouillante power plant in Guadeloupe due to the successful improvement of the resource performance and power plant operation. Additionally at our Puna power plant, the successful improvement of the resource performance also contributed to generation and revenue interest this quarter. The increase was also due to the partial contribution of $1.6 million from the Platanares power plant in Honduras which commenced operation towards the end of September, as well as initial revenues of $1.4 million generated from our demand response and storage activity. The increase in revenue was partially offset by a decrease in generation at some of our power plants that we needed to take offline to address maintenance issue. Moving to Slide 8, third quarter total revenue fall product segment was $44.9 million down 40% or total $74.8 million for the same period last year. As Isaac mentioned quarterly fluctuations in our product segment total and may cause lower revenues of this profitability stability on a quarterly basis. The decrease is primarily due to lower revenue as a result of new completion of our contracts in Chile and Sarulla Indonesia and other products in Turkey that were completed during 2016. The decrease was partially offset by revenue reorganization of $34 million in the third quarter 2017 for products in Turkey that started this year. Moving to Slide 9 for a look at our gross margin. For the third quarter combined gross margin decreased from 40.2% in the third quarter 2016 to 37.7% in the third quarter of 2017 mainly due to the reduction in the product segments margin. While our electricity segment gross margin increased to 41.4% in the third quarter of 2017, up from 39.4% in the same period last year primarily due to the Puna and Bouillante performance and due to our ongoing efforts to improve efficiency. In our product segment, gross margin decreased from 41.7% to 28.2% in the third quarter of 2017. As I indicated in previous call, we anticipated that for the product segment the second half would be lower than the first half in both revenues and margins and for the full year we are in line with our revenues and margin expectation of normalized level between 30% to 35%. Moving to Slide 10. Operating income for the third quarter of 2017 was $44 million compared to $48.2 million in the third quarter of 2016, an 8.8% decrease year-over-year. The decrease in operating income was primarily attributable to a decrease in product segment revenue and gross margin partially offset by decrease in G&A expenses. The decrease in G&A expenses was mainly due to $11 million expense in the third quarter of 2016 related to a claim settlement which was partially offset by G&A expenses from demand response and storage activity. Operating income attributable to our electricity segment for the third quarter of 2017 was $36.2 million compared to $23.9 million in the third quarter of 2016. 2016 third quarter operating income attributable to electricity segment excluding the $11 million one-time expense was $34.9 million. Operating income attributable to our product segment was $7.8 million in the third quarter of 2017 compared to $24.3 million in the third quarter of 2016. Moving to Slide 11, our strong financial performance year-to-date is in aggregate to take specific steps to streamline our capital structure and strengthen our balance sheet. The result is a meaningful decrease in our interest expense. For the third quarter of 2017, net interest expense was $11.7 million compared to $17.1 million for the third quarter 2016 which represent 31.8% decrease. This business was primarily due to the repayment of $250 million of our senior unsecured bond in September 2016 that board fixed interest rate of 7% through the issuance of two new senior unsecured bonds which bear an average interest rate of 4.2%. The decrease is also due to lower interest expense as a result of principal payments of long-term debt and revolving credit line with debt, as well as deals with $2.1 million decrease related to an increase in interest capital as supported. The decrease was partially offset by interest expense related to Don Campbell I project finance debt. Please turn to Slide 12. Other non-operating expense net for the third quarter of 2017 was $1.6 million and include a make-up premium of $1.9 million on the full prepayment of $14.3 million aggregate principal amount of our OFC senior secured note. And $11.8 million aggregate principal amount of our DEG loan which bow a little high interest rate of 8.25% and average rate of 6% to stakeholder. The $5.5 million other non-operating expense net for the third quarter 2016 includes prepayment of approximately $5 million related to the prepayment of senior unsecured bonds in September 2016 and make whole premium of $0.6 million resulting from the repurchase of $6.8 million aggregate principal amount policy of OFC and senior secured notes. Please turn to Slide 13 for third quarter of 2017 net income attributable to the company's stockholders was $19.2 million or $0.38 per diluted share compared with $12.1 million or $0.24 per diluted share for the third quarter of 2016. Adjusted net income attributable to the company's stockholders and diluted EPS excluding $1.9 million or $0.04 per diluted share related to the make whole premium as I just described was $21.1 million or $0.42 per diluted share compared to adjusted net income attributable to the company stockholder of $28.1 million or $0.56 per diluted share in the third quarter 2016. Please turn to Slide 14, adjusted EBITDA for the third quarter of 2017 was $76.4 million compared to $85.4 million in the same period last year which represents a decrease of 10.5% mainly related to the product revenue result year-over-year. Adjusted EBITDA for the Electricity segment was $55.7 million compared to $60.5 million and represents 8.6% increase year-over-year. Reconciliation of the EBITDA and adjusted EBITDA are described on the appendix slide. Turning to Slide 15, cash and cash equivalents as of September 30, 2017 was $77.2 million compared to the $230.2 million as of December 31, 2016. The accompanying slide breaks down the use of cash year-to-date as you can see we generated $166.5 million in cash from operating activities during the first nine months of 2017. Our long-term debt as of September 30, 2017 was $906 million net of deferred financing costs and it's payments schedule are presented in Slide 16 of the presentation. The average cost of debt for the company is 5%. On November 7, 2017 Ormat Board of Directors approved the payment of a quarterly dividend of $0.08 per share for the third quarter 2017. The dividend will be paid on December 5, 2017 to shareholders of record as of close of business on November 21, 2007. That concludes my financial overview I would like now to turn the call to Isaac for an operational and business update. Isaac?
Isaac Angel: Thank you, Doron. Starting with Slide 18 for an update on operations generation this quarter was positively affected from Puna and Bouillante as Doron described as well as from Platanares is coming online. The overall generation in the quarter decreased by 2.2% mainly due to lower generation in some of our power plants that we needed to take off-line to address maintenance issues. Turning to Slide 19 for an update on our backlog as of November 7, 2017 our product segment backlog stands at $182 million. We were able to sign new contracts in Turkey which continue to represent a significant share of our total backlog. Additionally for the first time in a decade we received an order from EDC in the Philippines. We are targeting the Philippines as a market with the potential for our product sales and we believe this order will open the door for more opportunities in the region. The new orders are strengthening and supporting our product segment revenue in 2018. Turning to Slide 20, in September we commenced commercial operation of our 35 megawatts Platanares geothermal project in Honduras our first in this country. Following the COD the 15 year BOT contract we signed with a local developer is now in effect. Platanares sells its power under 30 power purchase agreement with the national utility of Honduras and is expected to generate approximately $33 million in annual revenues. Platanares represents a significant milestone both for Honduras as the first geothermal power plant in the country and to us in our international growth plan. As indicated with any new projects particularly in a new region where regulation standard practices and business customs can be unfamiliar the risks and opportunities to be managed. We are working to initial customary matters and thus far we are very pleased with the plant operations. Subsequent to the quarter end we announced that the second unit of Sarulla geothermal power plant commenced commercial operation and extended the generation capacity of the entire plant to 220 megawatts Ormat share represents 28 megawatts which its financial results are recorded under unconsolidated investment. The Sarulla plant includes three units of approximately the 110 megawatts each utilizing both steam and brine extracted from the geothermal field to increase the power plant efficiency. The first unit commenced operation earlier this year and we expect the third unit to commence operations during the first half of 2018. Turning to Slide 21 as I mentioned in my opening remarks we are in the final stages of site construction of the 24 megawatts Tungsten Mountain geothermal project in Nevada. We expect the project to be online before the end of 2017 and according to commencement our portfolio will reach 800 megawatts. Also in Nevada we are developing the Dixie Meadows project which is in earlier stages of development. Following drilling results we have concluded that injection well should be located in an area which is currently designated as protected land. We are now petitioning for a change in that designation. We remain on track with our near-term targets with between 150 megawatts and 160 megawatts by the end of 2019 from the third unit of Sarulla in Indonesia our expansion at Olkaria, Kenya the third phase McGinness Hills in Nevada the expansion in Bouillante, Guadeloupe and from other projects that are under various stages of development. We also continued to expand our development inventory and add new prospects to support our future growth. About two weeks ago we participated in the BLM lease auction and won eight parcels including land has increased existing projects and acreages as well as land for new projects. We are progressing with our storage activity as well we are participating in at least domestically in the East and West Coast as well as internationally. We are focused on expanding our development pipeline in the U.S. and internationally and we have already release for construction a storage projects 1 megawatt in New Jersey. Turning to Slide 22, our estimated capital need for the remainder of 2017 includes approximately $72 million for construction of new projects and enhancement of our existing power plant. In addition we estimate proximately $10 million for maintenance CapEx operating power plant for exploration activities. The aggregate the estimate total capital expenditures of approximately $82 million. In addition we expect $16 million for debt repayment for the remainder of 2007. Please turn to Slide 23 for a discussion of our 2017 guidance. We remain confident in our full year outlook and we are narrowing our guidance range and slightly increasing the expectations for the total revenue and adjusted EBITDA the increasing visibility into our fourth quarter results. We expect total revenues between $686 million and $696 million by segment we expect Electricity segment revenues between $463 million and $468 million and Product segment revenues between $223 million and $228 million. We expect adjusted EBITDA between $343 million and $348 million and we expect annual adjusted EBITDA attributable to noncontrolling interest to be approximately $23 million consistent with the previous guidance. Long-term as we presented at the analyst and investor day we held in September we are moving forward with our strategic plan to achieve continued and profitable growth as we laid out in our target for 2022. I would encourage any investors to listen to the webcast of the event which is archived on the investor relations section of our corporate website. This concludes our prepared remarks, now I’d like to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Paul Coster with JPMorgan. Please go ahead.
Paul Coster: Angel I do apologize I missed your comments around the auction that you participated in, can you just elaborate please?
Isaac Angel: Yes we participated on BLM auction a few weeks ago and when eight new part sales mainly Nevada and this will be used as our future growth prospects in Greenfield.
Paul Coster: Slight disappointment around say electricity revenues this quarter, it sounds like you're going for maintenance. What kind of maintenance was is it, the kind of maintenance then subsequently yields higher energy revenues and anticipates, was it planned maintenance. So can you just give us some color here that would be helpful?
Isaac Angel: We had a few planned maintenance shutdowns in our few power plants which were expected but on top of them we had also few unplanned issues that were raised in few of our power plants by now all of them but one are already sold and power plants are back to operation. And the last one we expect to be online by December 1.
Paul Coster: But they won’t actually increase the yield relative to prior?
Isaac Angel: They will eventually as we indicated will bring the expected revenues to the ranges that we indicated during the call.
Paul Coster: And then finally Philippines which I think there has been some development bank activity around there perhaps signal this would happen. Was ORIX involved and what kind of opportunities are we talking about do you think it’s another Turkey like situation or do you anticipate getting involved in development and subsequent ownership of projects? Thank you.
Isaac Angel: Paul it is not like in Turkey but it will be mainly product sales. In Turkey as you know most of the opportunities are Greenfield. In the Philippines we are mainly talking about enhancement of existing power plants and mainly bottoming units that we are working for a long time but now this thing is coming into fruition. As indicated in the call we already got the early call order from one of the operators in the Philippines and we expect and we are dedicating a team of people to bring more product revenues from the Philippines for 2018 and 2019.
Operator: [Operator Instructions] The next question comes from Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Starting with the project pipeline, I think the timing looks pretty consistent with what you provided in the second quarter only difference [indiscernible] you call that in your prepared remarks. Could you touch on how many more projects you got PPAs for that that aren't on this slide and particular international projects that was something you discussed at the Analyst Day but just some metrics around that would be helpful?
Isaac Angel: So we are talking about the electricity projects Noah, in the Dunstan Mountain no doubt is on the SCPPA portfolio and it’s PPA. Basically all the projects that I mentioned today they already have PPA for?
Noah Kaye: Yes, the question is how many more projects do you have PPAs for that are not on that slide?
Isaac Angel: We have to fill 185 megawatts for SCPPA within the next four years. So to a quick calculation we still have a long way to go both through Greenfield and Brownfield so the PPA specifically in the U.S. is not an issue for the upcoming years.
Noah Kaye: And internationally can you comment to that?
Isaac Angel: Internationally today the main prospects are Kenya that we already have a PPA for the next enhancement. We are working on a new PPA for the expansion of Bouillante. We are expecting very soon a new PPA in Honduras and as I mentioned before we are working diligently on a large PPA in Ethiopia.
Noah Kaye: I think just looking at the quarter some interesting dynamics around working capital maybe that's probably moving slow through but there was a big step up in receivables. Can you comment to that and when you maybe expect working capital to swing back more favorably?
Doron Blachar: As project evolve we don't have today any specific location and seeing that all to acquire any provision it is always a questions on timing of payment of specific invoices sometimes it comes just before the end of the quarter, sometimes it come a bit after. But on an unknown basis we don't see any specific issues that we’re not able to cope with.
Noah Kaye: I mean may be as a follow up, you noted that your cash balance were down significantly since the start of the year. You talked in your prepared remarks about kind of CapEx and debt repayment needs. But can you update us maybe a little bit longer term call over the next five quarters and what do you think your capital needs will be and what's your liquidity position is - ability to fund your plant expansions and the like?
Isaac Angel: If you will look in the 2015 and 2017 so in 2016 we had a few financing deals that we did. In 2017 we had only the tax equity transaction at the beginning of the year we didn’t finance as of now any projects that's why you will see the reduction in cash. We are in a various discussions on new financing. Our Honduras power plant is not financed yet and we’re in the final stages of getting financed for it which would be a significant amount. And in addition to that we’re working on another financing in the U.S. So I would say that in the next few months maybe two or three months we should expect two significant financing to be done. On capital expenditure going forward, we saw the plan the growth plan that we have so we definitely expect give us treat to a few quite a lot capital, it’s a big power plant similar to Olkaria and Bouillante. I think this year in general the history represents some of the future and we'll obviously will come with specific numbers in February.
Noah Kaye: And if could just sneak one more and then thanks for taking all the questions. You talked about kind of getting close on the finance and broadly for international projects. How should we think about kind of nonrecourse debt rates on your number of plants?
Isaac Angel: What we're trying to do with the financing outside of the U.S. is to work with all teams, with DEG JV Sarulla so the financing - nonrecourse financing when utilizing these finance institutions you get lower interest obviously they are much higher than in the U.S. So in the U.S. you can finance a project not 4.5%, 5% outside of the U.S. it would be higher, but it comes multinational.
Doron Blachar: We also expect some kind of help coming here from ORIX shareholders that obviously based on our commercial agreement we’ll be adding some help here.
Operator: This concludes our question-and-answer session. I would now turn the conference back over to Isaac Angel for any closing remarks.
Isaac Angel: Thank you for participating in this morning's conference call. As usual we remain optimistic for the future and I thank you very much for your ongoing support and help. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.